Operator: Good afternoon ladies and gentlemen, and welcome to the One Medical Fourth Quarter and Full Year 2019 Earnings Results Conference Call. At this time, all participants are in a listen-only mode. After the speakers' presentation, there will be a question-and-answer session. [Operator Instructions] Please be advised that today's conference is being recorded.I would now like to turn conference over to Rose Salzwedel, Director of Investor Relations at One Medical. You may begin.
Rose Salzwedel: Thank you, Carmen. Good afternoon and welcome to One Medical fiscal 2019 fourth quarter earnings call. With me on the call today, our Amir Dan Rubin, Chair and CEO and President of One Medical; and Bjorn Thaler, Chief Financial Officer of One Medical. A complete disclosure of our results can be found in our press release issued earlier today, as well as in our related Form 8-K furnished to the SEC, all of which are available on our website at investor.onemedical.com. As a reminder, today's call is being recorded and the replay will be available on our website following the conclusion of the call.As part of our comments today, we will make forward-looking statements. These statements are based on management's current views, expectations, and assumptions and are subject to various risks and uncertainties. Actual results may differ materially and we disclaim any obligation to update any forward-looking statements or outlook. Please refer to the risk factors in our most recent Form F1 and Form 10-K to be filed with the SEC in the coming weeks. Of note, it is One Medical policy to neither reiterate nor adjust the financial guidance provided on today's call, unless it is also done through a public disclosure, such as the press release or through the Form 8-K. And we’ll also discuss certain non-GAAP metrics that we believe aid in the understanding of our financial results. A historical reconciliation to comparable GAAP metrics can be found in today's earnings release.During the call, we may offer incremental metrics to provide greater insight into the dynamic of our business. These details may be one time in nature and we may or may not provide updates in the future.And with that, I'll turn the call over to Amir and Bjorn for their prepared remarks and to take your questions.
Amir Dan Rubin: Thank you, Rose, and welcome everyone, and thank you for joining us particularly, during these extraordinary times. We're so pleased to speak with you today. For those we met during our IPO road show, we are happy to reconnect today; for those new to One Medical, welcome. As this is our first earnings call together, let’s begin with the brief overview of our One Medical model, strategy and opportunity. We will then review our 2019 results and then we'll also share comments with regards to COVID-19.One Medical is a membership based and technology powered primary care platform, with seamless digital health and inviting an office care convenient to where people work, shop, live and click. Our vision is to delight millions of members with better health and better care while reducing costs. Our mission is to transform healthcare for all, through our human centered technology powered models. We believe that the current state of healthcare is key stakeholders frustrated. These stakeholders include consumers, employers, clinical providers, and health networks. Consumers are dissatisfied with the healthcare experience, we short in personal visits, uninviting medical offices, constrained accessibility, and a lack of coordination across clinical studies.Employers often find their health benefit offerings, their health benefit offerings underperforming on attracting and engaging employees, improving productivity and managing costs. Providers nationally are showing symptoms of burnout, driven in part by misaligned fee for service compensation approaches, which incentivized short interactions and avoidable referrals and excessive administrative tasks from electronic health records and health networks, inclusive of health systems and health plans have been looking to develop more coordinated networks to better integrate primary care with specialty services and to a better align with attributable lives. Yet, despite their large investments, many have struggled to deliver on these objectives.At One Medical, we believe, we are uniquely positioned to deliver results for all of these key stakeholder groups. Our membership model combined seamless 24/7 digital health services with highly accessible and inviting in office care, routinely covered under commercial health insurance programs. Accordingly, we see that we are delighting consumers with our elevated experience and best-in-class clinical care as evidenced by our continued high 90 net promoter score and 90th percentile quality scores. For employers who sponsor employee memberships, One Medical is supporting employee engagement and productivity while delivering cost savings. For example, by reducing emergency room visits by 41%, increasing generic prescription rates and driving total employer savings of 8% or more.For providers, we were addressing root causes of burnout by providing a salary as opposed to fee for service compensation by leveraging a team based approach to longitudinal member relationships and by developing our own proprietary technology platform, which reduces many of the desktop medicine burdens and administrative hassles faced with cumbersome electronic health records. And for health networks, we are clinically and digitally integrated for better care coordination and reduce duplication of testing across primary and specialty care settings and helping health networks build alignment with employer accounts and commercially insured patients without them incurring many of the costs and risks faced in their developing their own practices on their own.Overall, we believe that our unique ability to simultaneously serve all these key stakeholders through our member base and technology powered model is delivering an enduring competitive advantage in a large and growing market. We indeed see a long runway for growth, returns and impact. Currently, members can access our digital services 24/7 from any location nationally and we have also scaled our medical office locations across nine markets today, including Boston, Chicago, Los Angeles, New York, Phoenix, the San Francisco Bay Area, Seattle, Washington DC and San Diego.In 2020 as we've previously announced, we plan to expand into three new markets which include Orange County, California, Portland, Oregon, and Atlanta, Georgia. Together these 12 markets alone represent an estimated $38 billion in total addressable markets for just the commercial population with the addressable market expanding to 159 billion when considering the commercial population across the entire United States and to 260 billion when considering all of primary care. With that brief overview of our model strategy and opportunity, let us turn to highlights from our 2019 results and how we've been able to perform, innovate and grow.We're very pleased with our financial performance during the past year and are happy to report that we closed out 2019 with a strong fourth quarter, which Bjorn will dive into later on the call. We ended 2019 with 422,000 members, expanding our membership base by 22% year over year. For the full year, we delivered 276.3 million in annual net revenue, an increase of 30% over year over year. We generated a care margin for 2019 of 108.6 million, an increase of 42% year over year. Adjusted EBITDA for 2019 of minus 25 million reflects continued investment in technology, capacity, expansion of sales and marketing efforts, and our public company readiness preparation costs.Going forward, we anticipate the adjusted EBITDA to improve given the leverage in our model, and we expect to reach adjusted EBITDA break even around year end 2022. In addition to delivering financial performance last year, we were widely recognized for our innovation. In 2019 Forbes ranked us as number one on their list of the most consumer centric healthcare companies. Alliance Bernstein named us as their most disruptive private healthcare company. That company named us is one of their most innovative companies, and we were named a great place to work.We also reach new heights in our impacts for chronic and complex care patients last year. For example, in late 2019, we are recognized by New York City as the number one performer for suppressing the HIV virus amongst all New York City providers. We also continued with strong member engagement across our digital and in person settings. During the 12 months of 2019, we engaged with our members an average of seven times, two times in person and five times digitally. As one member wrote to us, keep up the great work, your model is revolutionary and a much needed change the doctor patient relationship. It is sure to have a hugely positive impact on health outcomes.This level of member satisfaction is why we saw nine out of 10 consumer members renewing with us in 2019 and enterprise clients renewing at even higher levels. We also continued our growth last year, including with our Health Network partnerships, as we further built clinical and digital integrations across the United States. As of year-end, partnerships covered 86% of our member base up from 61% in the prior year. In January 2020, we announced a new partnership in Boston with Master Reynolds Brigham, also known as Partners HealthCare. On a pro forma basis, 88% of members are now covered under these partnerships.As we've already noted, we plan on expanding into Orange County, California, Portland, Oregon, and Atlanta, Georgia this year. With the addition of these three markets by the end of 2020, we will have grown our total markets by 50% over the prior 18 months. These markets provide us with an outstanding opportunity to grow our enterprise and consumer enrollment info line with premier partners. And today, we're pleased to announce an additional new market and new partnership as we plan to enter Austin, Texas next year in partnership with Ascension Seton Medical Center. This will be our 13th market and further extend our national reach to companies and consumers.In addition to expanding health network partnerships in growing markets, we've continued to build outstanding relationships with new and existing enterprise clients. We ended 2019 with more than 7,000 enterprise clients. In Q4, specifically, we began new relationships and industries across technology, retail, professional services, consumer goods, health care and education. In Q4, we also launched the One Medical for kids across multiple markets, allowing us to further delve into care for the whole family and extend our services with both enterprise clients and consumer members who also continue to grow. Pediatrics is just one example of our extended offerings, which now includes an array of digital health and in office care services, including immunizations and lab services, behavioral health, women's health, mental health, LGBTQ plus care, sports medicine, lifestyle and wellbeing programs.Let me now turn to how we're demonstrating the power of our model during this coronavirus, outbreaks and implications for our business. First, let me acknowledge our entire team for the incredible support given to our members, enterprise clients, colleagues and communities during this time. They have been delivering outstanding care, guided with the latest clinical insights, and often have been the frontline of health care for our members and employers in affected communities across the nation. We're seeing that our model which combines 24/7 bundled digital health, along with our acceptable in office care and lab services has been so highly valuable during this time of COVID-19.Through our digital health services, we have been able to actively serve members virtually and then direct them for any further care needed. In the first two weeks of March alone, approximately 31% of our entire membership base, start care with us virtually. We believe this is a remarkable demonstration of the deep, reach and power of our model and the incredible healthcare delivery by our team. Additionally, when our providers have deemed inappropriate and in line with clinical and public health criteria, we have been able to support COVID-19 testing services at designated One Medical locations across the nations.While testing volumes are still just ramping and capacity of centralized laboratories are still building up, we estimate One Medical has already facilitated about 1% to 2% of all the COVID-19 testing to-date in the entire United States, noting that we're not yet in many markets. And we estimate, we've facilitated approximately 4% of all testing in California in New York, 18% in Arizona and 45% in Washington DC. For leadership at our enterprise clients, we have been serving as a key clinical resource as these employers work through their workplace and team approaches. For example, just last week, we had a conference call between our clinical leadership and more than 250 existing and potential enterprise clients, providing further insights on COVID-19 in areas for consideration for their organization.We know that our model membership-based relationship and service to employers along with our seamless combination of digital health and in office care not only delivered in 2019, but it's delivering significant impact during these extraordinary times as well. We are continuing to see new employers and consumers sign up with us as they further recognize the power of our model. While it's still early in 2020, the party seen accelerated membership growth above our initial expectations and we expect to see long-term tailwinds for our business from our expanding membership base.Now, we are seeing communities we serve being directed by public health officials to adopt social distancing and sheltering in place practices. As for such, public official pronouncements, we are being guided to defer elective in office visits when possible. Accordingly, while our revenues from membership fees and partnership revenues continue, our patient services revenues from in-office visits are anticipated to decline in the short-term under such distancing and sheltering in place policies. After relaxation of those policies, we anticipate in-office visits and related patients services revenues not only returning to prior levels but potentially surpassing them for some period of time as differ as visits if seen for such needs as chronic disease management of diabetes and heart disease, cancer screenings, reproductive health, sexually transmitted infections, behavioral health, wellness visits, and many other needs.Additionally, it is possible that COVID-19 will drive an influx of demand for office space visits with lab testing services and at some point driving insights of demand for any future vaccinations or other treatments in supporting the healing of our nation and our economy. In summary, we believe that our human centered and technology powered model can transform healthcare for all key stakeholders and deliver better health, better care, and lower costs at scale. Moreover, during these extraordinary times, we see our model further demonstrating its extraordinary impact. We look forward to keeping you updated on our progress and appreciate your engagement with us.Now, let me turn it over to our CFO, Bjorn Thaler.
Bjorn Thaler: Thank you, Amir, and hello to everyone on today's call. We are very pleased with our strong 2019 result, which can be previewed in our F1. As this is our first call, we will share extra color on significant components of our business in addition to the detailed numbers. We have a membership driven model; And as I will discuss, members, drive the majority of our economics. In 2019, we grew our membership base 22% ending the year with 422,000 members. We have been a consumer focus companies since our founding and began building our enterprise strategy over the past several years. As of year-end 2019, our membership base was approximately 48% direct to consumer and 52% enterprise members.Turning to revenue, we report three separate revenue streams, specifically membership revenue, partnership revenue and net patient service revenue. In total, we delivered $77.4 million in net revenue in Q4, up 33% year-over-year. Our Q4 membership revenue grew 23% year-over-year and was 18% of our total net revenue for the same period. As a reminder, membership revenue is generated from consumer and enterprise and both membership fees. We receive partnership revenue primarily from our health network partners which is annual revenue stream for us.In markets, we have health network partners pay us a fixed per member per months fee or PMPM. When a member comes into our office, we build the insurance program for the services provided on behalf of this health network partners. As One Medical established such PMPM partnerships within our existing markets, we saw an increase in the percentage of total net revenue represented by partnership revenue with a corresponding decrease in net patient service revenue. In Q4 2019, partnership revenue was 28% of our total net revenue up from 13% in 2018.Please note that partnership revenue also includes fixed payments from enterprise clients for onsite medical services and capitation payments from independent physician associations or IPA. Taken together membership revenue and partnership revenue in Q4 totaled $35.8 million or 46% of total net revenue. These revenue streams are contractual and recurring in nature and general independent of the number of in office visits or digital encounters by our members.Next, patient services revenue is generated from providing care to members in our offices and filling them for their insurance program on a fee for service basis. Some of this revenue stream is generated in markets where we have health system partners, while in other markets we contact directly this health plans. Given our focus on timely care, we believe just the revenue stream is generally fairly visible as it is driven by the number of in person visits to our offices, the severity of these visits and the endorsement rate of health plans. In Q4, this represented 54% of total net revenue. While this percentage is down from 68% in Q4 2018, this decline is driven by the increasing shift to partnership revenue as I mentioned earlier.Turning to our Q4 results, partnership and net patient service revenue collectively increased 36% year-over-year. This strong growth was driven predominantly by our membership base growing 22%. The remainder of the growth was largely driven by improved member engagement during Q4, including a strong flu vaccination campaign and equals pricing. Our Q4 performance continued our strong momentum from earlier in 2019. We show total net revenue for the year of $276.3 million, up 30% year-over-year. We consider cost of care in the care margin to be important measures of our efficiency levels and our pricing effectiveness.Cost of care excludes depreciation and amortization, but includes the cost for both our in office and virtual providers and support staff, as well as occupancy costs, medical supplies, malpractice insurance, and other operating costs. Our membership models differs a distinct advantage in managing cost of care and regarding care margins, as membership provides line of sight as to when we need to expand our growth for in office staffing, and whether or when we need to expand into additional office locations.By most of our cost of care is driven by staffing, as a reminder, we begin incurring expenses for new offices several months in advance of opening, typically as soon as we sign the lease. Each new office is asking a modest step up in fixed costs primarily from additional occupancy expense, which is diffused over time as we go members. To manage new offices efficiently, we typically hire only a few providers at office opening and over time grow staffing as membership grows, including growing our virtual team as digital needs increase as well. We ended 2019 with a total of 83 offices, an increase of 17% year-over-year.During 2019, we opened a total of 12 new offices, 6 of those in Q3, and 6 in Q4. Additionally, in the second half of 2019, we began investing into new office growth for 2020. As a result, care margin in Q4 was $28.4 million, or 37% of net revenue, in dollar terms just represented is year-over-year increase of $6.1 million. As a percentage of revenue, care margin decreased slightly compared to 38% of net revenue in Q4 2018, driven primarily by our new offices. Even with these capacity investments in Q4, we were pleased with our demonstrated ability to derive efficiency during the year and deliver strong year-over-year care margin improvements in 2019.For the year, care margin was $108.6 million or 39% of total net revenue, their highest annual care margin percent percentage in our history and up from 76.5 million or 36% of net revenue in 2018. In terms of operating expenses below the cost of care line, this past year, we made investments to continue to fuel growth and to prepare to be a public company. Specifically, we do our technology team to further build out our platform for member engagement as well as integration with our health network partners. In Q3 2019, we also move into new corporate headquarters. Overall, and majority of these investments were fixed costs, and we expect to see additional efficiencies as we grow into them overtime.Lastly, within sales and marketing we invest in brand awareness, new member growth and member engagement. As a result, Q4 2019 adjusted EBITDA was a loss of $9.4 million, or 12% of total net revenue compared to a loss of $6.8 million also 12% of net revenue in Q4 2018. 2019 adjusted EBITDA was a loss of $25 million, or 9% of total net revenue compared to a loss of $13.9 million in 2018 or 7% of total net revenue. As we mentioned, we expect to derive meaningful leverage in our operating expenses, particularly within G&A over the next several years. Our balance sheet remains strong as we ended 2019 with $146.5 million of cash and short -term marketable securities and only $3.3 million of debt. We were pleased to complete our IPO on January 31st, which generated $263.4 million in net proceeds, providing additional liquidity in addition to our yearend cash balance.Lastly, on our statement of cash flows, let me provide a brief color on our 2019 CapEx investments of $54.4 million, which was up from $10.8 million in 2018. In 2019, approximately $22 million of CapEx was related to our new corporate headquarters. The remaining $32.4 million was primarily used to open 12 offices in 2019, with an additional 10 offices in progress to open in early 2020 for an average of approximately $1.5 million in CapEx for office. Going forward, we have begun to modestly increase the size of our office footprints with new offices having on average one to two additional exam rooms and some even more. As such, we expect these rates to be flat to modestly up heading into 2020.Now, turning to our Q1 2020 guidance, as Amir mentioned while it is still early 2020, we have seen an acceleration in membership growth as we continue to demonstrate the high impact and power of our model during these unprecedented times. As a result, we expect to end the quarter with total membership between 443,000 and 447,000 members. For revenue, while we had a strong January and February, and we are seeing accelerated membership growth. If you did think to March we began to see a decrease in office utilization as communities are increasingly promoting quarantine and self-isolation. For example, earlier this week, the San Francisco Bay area has required that all residents shelter in their homes until April 7, and we’re seeing other communities like commend or require similar self-isolation practices generally so early April.This situation is fluid with public health and government instructions involving often. From a financial perspective, we generate approximately $3 million in weekly net patient service revenue. We currently expect to deliver Q1 net revenue between 74 million and $77 million and it's the revenue guidance assumes a reduction of approximately $6 million to $8 million in net patient service revenue as a result of these quarantine measures. We also expect to deliver Q1 care margin between 22 million and $25 million and Q1 adjusted EBITDA between a loss of 18 million and the loss of $15 million. Both of which are impacted by the same dynamics I just mentioned.Turning to 2020, we are seeing heightened interest by consumers and employers in our member focus combined virtual and in office service offerings which is strong and growing pipeline. Over the long term we think it really accelerate the demand for our model. We remain focused on caring for our members and delivering high impact during this time which is shining a light on the importance of combining virtual and in office care. Based on that we are pleased to report that we now expect to end fiscal year 2020 with membership between 495,000 and 510,000 members, which we believe sets us up well to drive long term incremental revenue, particularly given that nine out of 10 consumer members with us year over year and enterprise clients at even higher levels.Turning to revenue, based on our performance in January and February, we had expected to provide four year revenue guidance in the $338 million to $344 million range and adjusted EBITDA guidance off the loss of $47 million to a loss of $41 million. However, based on the aforementioned dynamics, we believe full year results negatively impacted by at least $6 million to $8 million in reduction expected in Q1 2020. Any impact thereafter will depend on the level and duration of self-isolation taxes into communities we serve. As a result, we do not provide formal 2020 guidance beyond the membership numbers I just discussed at this time.As I pointed out earlier in 2019, 46% of our total net revenue was contractual and recurring in nature and generally independent of the number of in office visits or digital encounters by our members and we are seeing continued strength in new member enrollment. At the same time, we typically generate approximately $3 million in weekly net patient service revenue directly related to in office utilization, notwithstanding the count reduction of in office utilization due to increasing social distancing. As I previously mentioned, we believe we are well positioned to service the opportunities in the current environment, including the potential to see significant demand for COVID-19 examination and testing services, increased visits due to pent up demand for in person care and higher than anticipated membership.As such, we believe we have strong business momentum that will help us mitigate some of these near term COVID-19 related headwinds. We also believe that our strong balance sheets will allow us to take advantage of the conscious rotation in the marketplace, allowing us to accelerate our journey of responsible growth, including opening more than 20 new offices this year. Overall, we remain committed to reaching adjusted EBITDA breakeven around year end 2022 with significant leverage generated within G&A to reach their targets. And we also remain committed to the long term financial targets we shared to you in our road show, which include mid 20% net revenue grow 45% care margins, and 20% adjusted EBITDA margins.To close we delivered a strong year of financial results in 2019. And we remain focused on executing against the opportunity ahead of us in 2020 and beyond and further proving the power of our model. I'd like to thank our members, employers, partners, team members and shareholders for their continued support and engagement as we work to improve the way healthcare is delivered one member at a time. Thank you for taking the time to join us on our call today.And with that, we'd be happy to take any of your questions at this time.
Operator: Thank you. [Operator Instructions] And our first question is from Lisa Gill with JP Morgan. Please go ahead.
Lisa Gill: Great. Thanks so much. And I understand how fluid everything is, and I appreciate your comments. I'll be honest, as we you think about that, that weekly net patient revenue, but as we think about visits. Is there way to breakdown how many of those visits you could say or acute visits meaning that, if somebody so self-isolating, they go, I feel like I might have strep throat or something. So, what I'm going to so I'm just going to go and do a virtual care visit. And so therefore, I'm never going to come to the visit versus what I need to get my wellness visit for the year, I need to have, my checkups, whether it's for me or my kids, et cetera.
Amir Dan Rubin: Hi, Lisa. Thank you for your question. This is Amir, and we have always had very high engagement with our members, both digitally and in office. So, before these extraordinary times, we had seven engagements per member per year, about five digitally and two in person. And so, we always were able to handle a lot of things that didn't require in office care, digitally. We haven't fundamentally seen a change in that at this time. And thus we see the things that we more typically would have seen an office for longer, more extended visits, as currently being deferred until they can come back in.
Lisa Gill: So the way we should think about this Amir is that, if you believe that this is more of a deferral, not a replacement of a service that, that went digital versus de novo?
Amir Dan Rubin: That is correct. Moreover, during this time, as I mentioned, we've had 31% of our entire membership population, seek personal care with us. Now, a lot of that has been around the preoccupation of everybody with COVID-19 in the concerns there. But people will continue to be concerned about their blood sugar levels, their sexually transmitted infections, their COPD, their long-acting reproductive care. So, we believe these conditions we will need to turn back to them, but we're trying to defer those until an appropriate time.
Lisa Gill: And then just a follow-up, when you talk, when you Bjorn talked about fourth quarter 2020 to EBITDA breakeven. If I remember correctly that previously was fourth quarter 2021. Is that because of COVID-19 that you're pushing out that timeline?
Bjorn Thaler: No, I think we always said we’re going to be EBITDA breakeven about 8, 9, 10 quarters out of the IPO. So, there's no change here.
Operator: Thank you. Our next question comes from Ricky Goldwasser with Morgan Stanley.
Ricky Goldwasser: I have some follow-up questions on your commentary on COVID impact. So, when we think, if you just give us a little bit more context about that $6 million to $8 million. So, as we think about, it is an impact across all your regions is this just for the San Francisco market, we've seen where we've seen the most social isolation activity so far. And if we think about the net impact, is this extreme, mainly related to your partnership fee for service, given the fact that the membership revenues are already perfect kind of paid up front and that the PMPM is paid regardless to the visit. So, should we think about as a percent of that partnership fee for service? And then lastly, have you seen any benefit from the membership revenues? And maybe if you can help us like, quantify to us how much more new members you think that you've seen in the quarter as a result of the situation that we're seeing in the marketplace?
Bjorn Thaler: Yes, absolutely. So, maybe I'll start and then Amir can share additional color on membership and sales efforts. As we think about the COVID related impacts on March, it's obviously $6 to $8 million in total is our estimate of the impact. And really, when you think about what happens to our volumes, right, the first two weeks of March, we saw volume declines in a variety of different markets, and that's probably worth about one third of that $6 million to $8 million in total.And then for the remaining 2.5 weeks or so of March, given that whether it's New York, whether it's San Francisco or whether it's really across the country, we see an increase in demand and requests for socially isolate. So, for the last 2.5 weeks of March, we see roughly about two third of that impact. And that also helps I think box, the potential impacts, and how many acute visits do you have versus how many visits can you defer.
Amir Dan Rubin: And just to add to Bjorn, on your questions. So that is impacting the fee for service oriented patient services revenue. Ricky. And then in terms of the kind of market opportunities where we’re seeing increased interest and increased enrollment on both the enterprise and the consumer side. We've been seeing it strong, through the beginning of 2020, but we're also seeing increased interest during these extraordinary times. So it's some level this COVID 19 time is further proving the power of our model.I think we'd all recognize that health care is the primary thing on people's minds these days. I also mentioned some pretty dramatic testing volumes in how One Medical already is significantly facilitating a large percentage of the testing in most of our markets. And, even adding it up across the United States and so, I think this also shows the potential of what might not just be pent up, in office visits, but a new level of care and testing services that might be needed. And so, those are some of the kind of tailwinds on the demand side.
Ricky Goldwasser: Understood. So just one follow up to clarify, if we think about where our estimates were for fee for service in the DC market, I think we were modeling around $38 million to $39 million. So within that contract the $6 million to $8 million is around 20% decline in two weeks. Just to make sure that I'm thinking about this correctly. That's one. And then the other flop is just, how should we think about the additional expenses or costs associated with entering into Austin? Maybe when should we start filling those, through our model as we updated? Is this more kind of like the second half of 2020 type incremental cost?
Bjorn Thaler: Yes, so to your first part of the question, the $6 million to $8 million is really the full impact for the full month, right? So it's not just a two and a half weeks. This is all of March, where we see the $6 million to $8 million impact. Again, probably about a third of that impact 33% is what we saw in the first two weeks and probably about 66% of that impact is what we are projecting for 2.5 weeks. So, I think that that gives you a pretty good sense.And again, point that is across all of our fees for service markets now just specific markets, and then relative to the expansion into Austin. We plan to open Austin in early 2021, as you heard Amir say. We do expect to start incurring some costs predominantly related to the build out of new offices probably here in the second half of this year. But going back to our general comments, we do plan overall to open about 20 or more offices this year and the build out of Austin is certainly contemplated in that.
Operator: Thank you. Our next question comes from Ralph Giacobbe with Citigroup.
Ralph Giacobbe: Thanks. Good afternoon, I guess what is interested in and hoping you can delve a little bit more into the your sort of capacity and I guess ability to continue to serve your base on sort of the telehealth side with your existing staff. Obviously, some big numbers you threw out there in terms of telehealth visits. So just wondering on the other side of that, where you are on sort of the capacity out on that end, and what do you need to sort of build your positions staff at this point?
Bjorn Thaler: Thank you, we feel well positioned to handle and have already handled a large volume of that demand leveraging our own technology, which is inclusive synchronous video, asynchronous communication structured tax. So, we have a multimodal virtual care platform that's allowing us to handle these tremendous, tremendous influxes. And we feel very well positioned to continue to do so.
Ralph Giacobbe: Okay, that's helpful. And I did want to go back to, the discussion on sort of the $3 million and weekly net patient service revenue against the $6 million $8 million that you sort of implied. I guess the question is, if you just maybe just take the numbers on land, you call it sort of $12 million or $13 million in net patient service revenue a month and you The impact is $60 million and 50% impact if not more. So, this does go for full quarter. I mean, is it fair to think of it as a 15% reduction? Again, just for a quarter on that net patient service revenue piece? Obviously, it's sounds like you're going to get some of that back because it's the third of those last two that are fair way to kind of claim it based on what your guidance is even just for the last couple of weeks of March?
Bjorn Thaler: Yes, I think I think if you do the math then you always you're effectively saying there is no fee for service revenue coming in. And what we obviously see is frankly, the opposite. Do you feel is fair amount of fee for service revenue coming in? That sort of $6 million to $8 million of impact is coming in. And to Amir’s point, we are now increasingly ramping up our testing capabilities for COVID-19, which will also generate fee for service revenue.We do believe that while folks have generally elects not to do wellness visits today that will be a pent up demand. And it is in everybody's guest at this point how long these extraordinary times to be in will last. But we have a high degree of confidence that once we are through these extraordinary times, there's going to be a huge pent up demand in our services if we are ready to ready to serve on top of the incremental membership that we are signing up right now. So, we feel very good about our long term prospects.
Ralph Giacobbe: Okay all right. Fair enough. If I could just squeeze in one more, it sounds like new memberships on. It sounds like, it’s accelerating and maybe COVID-19 in the headlines is helping to drive individuals. So, maybe just there's a little bit of context of that and what you're seeing or hearing from those individuals signing up is it sort of initial around sort of challenges around seeing primary care, given everything that's sort of going on out there. And or what's happening sort of on the enterprise side? Is that being driven 50-50? Or is it more individual in terms of where you're seeing that incremental membership based on the effects?
Bjorn Thaler: Yes, we're really seeing the growth on both the enterprise side and on the consumer side. In the enterprise side, some of this has been with accounts that we've been talking to you and now want to push ahead, but we've even had brand new accounts that have gone from initial conversation to Go Live, sometimes within a matter of days, as people are realizing that our model is quite powerful a combination of digital health to address the needs of their employees, as well as in office services, including COVID-19 facilitation and testing services, that it's been is very powerful.And so as people are looking for virtual care solutions as they're looking for testing locations, they're finding that whether they're consumers or whether their employers that One Medical has a unique model, it's also a model that scales. So, we are also engaged with consumers in multiple markets, as well as not only important in multiple markets, but employers that cross markets and we're uniquely positioned to do that.
Operator: Thank you. And ladies and gentlemen, in the interest of time, please limit yourself to one question. And our next question is from Sean Wieland with Piper Sandler. Please go ahead.
Sean Wieland: What do you mean exactly by facilitated testing? Can you just -- that's a shockingly high numbers of as a percentage, and I just want to get a better understanding of what you mean by facilitators and exactly what you're doing there? And how you're getting access to testing and delivering a service that it seems like the rest of the healthcare system is unable to?
Amir Dan Rubin: Yes, so what I mean is the actual laboratory test is done. Thank you, Sean for the question. The actual laboratory test is done by central core laboratories like the LabCorp for other local labs. So, what I mean is, we are doing the specimen collection we are donning the personal protective equipment, we are examining the patients, we are collecting the specimen, we are then getting back to results, we are getting those results back in our app, we are then calling back to patients, we are then assessing those results, we are then making clinical decisions whether to examine those patients further, whether to send them into hospitalization. So, everything around except we do not own the PCR machines that do the actual laboratory testing. So, that's what I mean by the facilitating the test. The actual PCR test is the mechanism that's now being used is, is done by the LapCorp and other such laboratories.
Operator: Thank you. And our next question is from Jamie Stockton with Wells Fargo.
Jamie Stockton: I guess just on the telehealth, which you're obviously seeing a very strong inflection for. Can you talk about maybe this isn't as much of a 2020 event, but just -- have you had any conversations with insurers around flipping to getting those encounters reimbursed. Obviously, we've seen Medicare expand telehealth reimbursement that's not a big piece of your member base. Just any thoughts or color around that would be great?
Amir Dan Rubin: Well, I think, thank you, Jamie for the question. I think in general what we're seeing is the power of our model, which is combining the digital health and the in-office care and we've certainly seen a tremendous demand. We're continuously looking at ways to continue to innovate on our model and coming out of the COVID 19 times, we will reflect further on any additional opportunities that there might be.
Operator: Thank you. And our next question is from Ryan Daniels with William Blair.
Ryan Daniels: Thanks for taking the question guys. We've talked a lot about the revenue impact of COVID on the business. I'm curious, if you can go a little bit into the EBITDA impact. And I guess my question, there's twofold. One, in the markets where you're getting a PMPM, it could be beneficial as you still get the recurrent revenue without having to treat the patient, but in the markets where your fee for service, obviously it's going to be impacted. And I'm curious too, if the bulk of increased telehealth visits, which are already included in the membership fee, could pressure margins as well. Again, if you see volume shift to something that's already included versus something that you could build for. Thanks.
Amir Dan Rubin: Great question. Thank you. I mean the short answer is that we really don't expect any meaningful impact on care margins and EBITDA at this point. Other than obviously on a percentage basis the impact from the change in revenue and the reason for that, in many ways it goes back to our technology and our leverage model. While we do see a reduction in some of our in office visits. What we are doing is actually we’re redeploying those providers that are now having extra capacity in our offices to help us on the virtual side.So, our 14 is doing a great effort to make sure that we continue to have what we believe our industry leading response times on virtual health. And we are really doing this while our technology and also utilizing the capacity that is now not necessarily utilized in the near-term in our offices. So we think we can cover it relatively nicely here in the near-term.
Operator: Thanks you. And our next question comes from Matthew Gillmor with Baird.
Matthew Gillmor: I had a follow up to Jamie's question on, on telehealth. I know it's a very fluid situation, but the Trump Administration announced a relaxation of some telehealth regulations, which could allow practicing telehealth across state lines. Does that have any bearing on the business either near term, long term? And I was curious more specifically if you're seeing any interest from employers to just pay for their telehealth access where one medical doesn't yet have an office location in that state.
Amir Dan Rubin: Yes, I think we are seeing interest from importers to do all kinds of things at this point with us in. So, we will continue to innovate on that. And I think in general, the direction of such telehealth policies has been helpful. I'm not sure it is instrumental to making the difference in our model in the near term, but in the longer term, I think these are helpful moves. But yes, we are seeing employers reach out to us because they're seeing that our model can help them not only address their current issues, but remember, all these employers are going to have to figure out how to get back to work.And, will that involve a lot of testing? Will there hopefully one day be an immunization? Will that be screening virtual? And if any of those things is likely to leverage, yes, telehealth, but also a combination of telehealth in office testing in office, immunizations, and, just wait till the next flu vaccine season we'll see where people are like if they're going to want that vaccine and hopefully we'll have a COVID-19 vaccine. So, yes, we see opportunities on telehealth but moreover, we see continued differentiation with our model that combines digital health and in office care.
Operator: Our next question is from Sandy Draper with SunTrust.
Sandy Draper: Thank you very much. Good afternoon. And again, well wishes to you and your families. And but obviously challenging times. So my question a lot of my questions have been asked, but maybe just in terms of office openings, when you think about filling out the offices hiring, is there any risk to those being delayed? Or the flipside is, would there be opportunities or would you ever consider delaying opening? So let's say this is prolonged you see more shelter in place in more cities? Do you actually say, we can serve the patients in those new markets telephonically, but we don't need to start turning on lights, staffing, turning on computers in the offices until we actually get through that. So just trying to think how much flexibility what your thoughts are around the office opening implications? Thank you.
Amir Dan Rubin: Yes, Sandy, thank you for the question. Obviously these are fluid times, but we really See one medical as a key public health resources as well. So should we be in a severe COVID-19 situation, and the hospitals of this country are flooded. We're an ideal place to see patients in and outside of a hospital setting. And so in that regard that might say, hey, you want more distributed locations, look at just the volume of touching we've been able to do.We've got a national model. We've been able to get the standardized protocols going. We've got interfaces with national laboratories. We have teams who can call back end result, results. So we're built for that. So, one can foresee a scenario, and like I said, it's fluid. Well, we'll have to examine the timing, but you can also foresee a scenario where we might want to accelerate the timing as well, depending what the needs are in the communities.
Operator: Thank you. And sir, this concludes the Q&A session. I will pass the call back to Amir Dan Rubin for his final remarks.
Amir Dan Rubin: Well, we really want to thank everybody for joining us here today. And as a health care organization, let us leave with guidance to stay healthy, wash your hands, but also to be positive together, we will work through this.We certainly are incredibly proud of the role that we're playing to get our communities, not only hopefully healed, but reducing their anxiety. We have a tremendous group of technologists and providers who are on the frontlines and are proving their merits every day with our membership phase with our employers and with our communities.So thank you so much for being here today and we'll talk to you soon. Thanks everyone.
Operator: And with that, we thank you ladies and gentlemen. This concludes today's conference call. Thank you for participating and you many now disconnect.